Operator: Greetings and welcome to the Kulicke & Soffa Fourth Fiscal Quarter 2014 Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Joseph Elgindy, Director of Investor Relations and Strategic Planning for Kulicke & Soffa. Thank you. You may begin.
Joseph Elgindy:
Bruno Guilmart:
Jonathan Chou:
Bruno Guilmart:
Operator: Thank you. At this time we will be conducting a question-and-answer session. (Operator Instructions) Our first question is coming from the line of Tom Diffely with D.A. Davidson. Please proceed with your question.
Tom Diffely:
Bruno Guilmart:
Tom Diffely:
Bruno Guilmart:
Tom Diffely:
Bruno Guilmart:
Tom Diffely:
Bruno Guilmart:
Tom Diffely:
Jonathan Chou:
Tom Diffely:
Jonathan Chou:
Operator: Thank you. (Operator Instructions) Our next question is coming from the line of Mohit Khanna with Value Investments. Please proceed with your question.
Mohit Khanna:
Jonathan Chou:
Mohit Khanna:
Jonathan Chou:
Mohit Khanna:
Jonathan Chou:
Bruno Guilmart:
Mohit Khanna:
Jonathan Chou:
Mohit Khanna:
Jonathan Chou:
Bruno Guilmart:
Mohit Khanna:
Bruno Guilmart:
Jonathan Chou:
Mohit Khanna:
Bruno Guilmart:
Operator: Thank you. Our next question is coming from the line of [Andy Scholnick] (ph), a private investor. Please proceed with your question.
Unidentified Analyst: Jonathan, in the absence of having the 10-K available at this time, I'm going to ask you just fill in a couple of numbers for me. What was the net cash flow from operations in the fiscal fourth quarter?
Jonathan Chou:
Unidentified Analyst: Yes. Well probably another one that you may not have readily available. I was wondering if you could give us a free cash flow calculation in terms of fiscal 2014?
Jonathan Chou:
Unidentified Analyst: Well, I think the only other thing I am curious about is whether or not you have any kind of sense of what’s the penetration of the bonder market has been from the copper bonders over the past few years?
Bruno Guilmart:
Unidentified Analyst: Do you have any estimate of how far you've penetrated the market for copper bonders?
Bruno Guilmart:
Unidentified Analyst: Jonathan, can I come back to you? I want to be sure I did understand what you said about the share repurchase program. Did you repurchase $628,000 worth of common stock at $14.40 per share in the fourth quarter?
Jonathan Chou:
Unidentified Analyst: And what was the 6.8 million that you referenced, that $13.27 per share?
Bruno Guilmart:
Jonathan Chou:
Unidentified Analyst: That’s it for me, unless you have that net cash flow from operations or when the 10-K will be filed?
Jonathan Chou:
Operator: Thank you. Our next question is coming from the line of Albert Sebastian with Prospect Advisors. Please proceed with your question.
Albert Sebastian:
Jonathan Chou:
Albert Sebastian:
Jonathan Chou:
Bruno Guilmart:
Jonathan Chou:
Albert Sebastian:
Jonathan Chou:
Bruno Guilmart:
Albert Sebastian:
Jonathan Chou:
Operator: Thank you. Our next question is from the line of David Duley with Steelhead. Please proceed with your question.
David Duley:
Bruno Guilmart:
David Duley:
Bruno Guilmart:
David Duley:
Bruno Guilmart:
David Duley:
Bruno Guilmart:
David Duley:
Bruno Guilmart:
David Duley:
Bruno Guilmart:
David Duley:
Bruno Guilmart:
David Duley:
Bruno Guilmart:
David Duley:
- Steelhead: So you are definitely demonstrating that your customer side is a much more stable process and a higher units per hour?
Bruno Guilmart:
David Duley:
- Steelhead: Last question from me is, the year-over-year guidance for December is up versus last year as you pointed out. Is that almost, is that the wedge bonder business being strong year-over-year most of the [Multiple Speakers]?
Bruno Guilmart:
Operator: Thank you. We have reached the end of our question-and-answer session. I would now like to turn the floor back over to Mr. Elgindy for any additional concluding comments.
Joseph Elgindy: